Operator: Good morning and welcome to the Bunge Limited Fourth Quarter 2017 Earnings Release and Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I now would like to turn the conference over to Mark Haden. Mr. Haden, please go ahead.
Mark Haden: Great. Thank you, Keith and thank you, everyone, for joining us this morning. Before we get started, I want to inform you that we've prepared a slide presentation to accompany our discussion. It can be found in the Investors section of our website at bunge.com under Investor Presentations. Reconciliations of non-GAAP measures disclosed verbally on this conference call to the most directly comparable GAAP financial measure are posted on our website in the Investors section. I'd like to direct you to slide 2 and remind you that today's presentation includes forward-looking statements that reflect Bunge's current views with respect to future events, financial performance and industry conditions. These forward-looking statements are subject to various risks and uncertainties. Bunge has provided additional information in its reports on file with the SEC concerning factors that could cause actual results to differ materially from those contained in this presentation and encourages you to review these factors. Participating on the call this morning are Soren Schroder, Chief Executive Officer and Tom Boehlert, Chief Financial Officer. I'll now turn the call over to Soren.
Soren Schroder: Thank you, Mark and good morning, everyone. Thanks for joining us. We’re on slide number 3. 2017 proved to be a year of significant market and industry challenges, with the exception of edible oils, where we earned a near record profit. It was not what we expected coming into the year, with a variety of factors developing negatively as the year progressed, crush margins, sugar milling prices and volumes in particular. We started the fourth quarter on a strong note, but much weaker soy crush margins in the Europe, Brazil and Argentina and origination margins in Brazil led to an approximate $100 million shortfall in November and December versus our expectations. And in sugar milling, nonstop rains in the quarter curtailed crush by approximately 700,000 tons, increasing unit costs and reducing volumes with an effect of about 40 million. Foods performed as expected. That said, our teams around the world have done a terrific job this year, executing the strategy that we laid out for investors in December 2016. And they’ve done so in a very challenging environment under a variety of pressures. It’s a testament to their professionalism and their commitment. We have a lot to be proud of. The reengineering of Bunge is significant and is well underway to simplifying how we work, while reducing costs. We executed on a number of strategic acquisitions in both ag and food in the past year, enhancing our footprint and improving our future earnings potential as conditions normalize. And with Loders Croklaan, we were able to secure a transformational acquisition, which we expect to close during the first quarter and once completed, will make Bunge the leader in global B2B edible oils. Despite the very challenging market environment and weaker than expected earnings, we were able to generate nearly $1 billion of adjusted funds from operations. This was sufficient to fund another increase in dividends, ongoing CapEx and part of the acquisitions we closed during the year. And our strong balance sheet allowed us to secure funding for the Loders Croklaan acquisition immediately after the announcement at very favorable terms. So, a very difficult year in terms of earnings, but many great strategic achievements, which collectively will make us stronger. Shifting now to an overview of our business segments. Agribusiness faced significant margin challenges with soy crush margins averaging approximately $5 a ton lower than 2016 and over $10 a ton lower than the three year average. This was primarily due to weak soy mill demand as competing proteins took market share and excess crushing in Argentina, which pushed destination soymeal stocks to the highest levels seen in many years. In grain origination, margins were compressed due to farmer retention and lack of logistics flexibility, in particular in Brazil where industry players had over committed sales and logistics coming into harvest, forcing aggressive competition for product despite poor margins. In food and ingredients, after a strong year in 2016, our wheat milling business in Brazil faced margin pressure due to the large domestic wheat crop, which increased the supply of lower cost flour in an economy where consumers are still very price sensitive. And in sugar and bioenergy, after a record 2016 EBIT and cash flow, our sugar milling results in 2017 were negatively impacted by lower sugar and ethanol prices as well as higher unit costs from adverse weather late in the year. Yet, our milling business generated approximately $35 million dollars of EBIT and 30 million in free cash flow in the year. As mentioned, a bright spot in 2017 was our edible oils business, where we’re gaining traction with both global and regional key accounts. Through its tight linkage with agribusiness, we have a superior global footprint and significant supply chain capabilities. This combined with a well-organized global approach to key accounts is driving growth in both volumes and margins in food service, industrial and baking segments. When coupled with Loders Croklaan, our combined footprint will solidify our position as a leader in B2B oils. Also in 2017, we made considerable progress on a number of important operational areas. We made great strides in the implementation of our global competitiveness program, exceeding our $15 million target for this year by 25 million. We delivered $110 million of industrial and efficiency benefits, exceeding our target by 10 million and we continued to be disciplined stewards of capital, reducing CapEx $188 million below our original 2017 target of 850 million and we reduced our cash cycle by 3.5 days, allowing us to grow volumes by approximately 10 million tons, while holding working capital relatively flat compared with last year. In sum, we remain and will continue to be laser focused on the strategic priorities, which will drive improvements in our commercial and industrial operations, while also reducing cost. Now, turning to slide 4, looking to 2018, there are a number of factors that we expect will lead to year-over-year improvements in all segments. This starts with the inputs we can control and a continued emphasis on cost and efficiency. In 2018, we expect $100 million of SG&A savings compared to a 2017 baseline, driven by our global competitiveness program and an additional $80 million of industrial and supply chain improvements. We're not forecasting a quick rebound in agribusiness, but we are seeing signs that the soy crushing environment has begun to turn. Starting in late December, soy crush margins have improved significantly on the back of reduced crush rates in Argentina, as farmers held back supply and declining global soymeal stocks. Protein demand is up at both origin and destinations and soymeal is again well priced in feed formulations. If this continues, which we believe it will, 2018 should be a much improved year in soy crushing. At the same time, we have significantly reduced our take or pay logistics commitments in Brazil. This will provide us with increased flexibility and is expected to lead to improved origination margins. All the agribusiness macro drivers are supportive. Growth of the global middle class and the underlying demand for protein and vegetable oils and growth in oil seeds processing and global trade, all of which point to improved asset utilization and therefore margins. Though we anticipate continued softness in Q1, we expect improved conditions throughout the remainder of the year. In flour milling, we expect a return to growth in 2018, following the strength of our fourth quarter volumes in North America. We’re also pleased to be adding two new corn mills to our US footprint that we recently acquired from Grupo Minsa. And in Brazil, we believe we've seen the worst in wheat milling with the economy on an improving track and much reduced domestic wheat crop, which we expect will be sold in improved margins and EBIT, starting in the second quarter. In edible oils, we will build on the strong 2017 by substantially increasing the breadth and depth of our product portfolio with the acquisition of Loders Croklaan. Edible oils is a strong and growing category as demonstrated by the solid underlying performance of both our own and Loders businesses. We firmly expect that along with the $80 million of commercial and supply chain synergies, we will lift our edible oils performance significantly as we integrate the two operations, bringing us to the targeted 35% to 40% of Bunge’s earnings from added value in the medium term. The teams on both sides are looking forward to demonstrating our combined capabilities to customers upon closing, expected later this quarter. And finally in sugar and bioenergy, we are making progress with our strategic objectives to reduce exposure to the sugarcane milling business. We have prepared the milling business for financial separation and we’re in advanced discussions to sell our interest in our renewable oils joint venture to our partner as well as exiting our global sugar trading activities. Our global sugar trading team is highly professional and has done well, serving our clients for several years, but given the strategic direction of the milling business, we believe it's better to focus all our efforts on the grains and oilseed value chains in agribusiness and food. So all in all, a challenging year, but we remain confident in our strategy and the capabilities of our teams around the world. Though the first quarter is expected to remain weak, there are signs of normalization in global soy crush, wheat milling and continued growth in oils, all pointing towards restoring earnings in 2018 and growth beyond. Now, I’ll turn the call over to Tom who will take you through a detailed review of our results and the outlook.
Tom Boehlert: Thanks very much, Soren and good morning everybody. Reported fourth quarter loss per share from continuing operations was $0.48 compared to earnings per share of $1.83 in the fourth quarter of 2016. Adjusted earnings per share were $0.67 in the fourth quarter versus a $1.70 in the prior year. Pretax notable charges totaled $100 million during the quarter, primarily resulting from the costs relating to the competitiveness program. And net tax notables totaled $86 million, primarily resulting to the impact of US and Argentine tax reform. Total segment EBIT in the quarter was $55 million compared to $403 million in the prior year. On an adjusted basis, segment EBIT was $155 million. Agribusiness adjusted results decreased in the fourth quarter with EBIT of $78 million compared to $237 million in the fourth quarter of 2016. This resulted from a $100 million decrease in oil seeds and a $59 million decrease in grains. While there were a few bright spots, such as crush in the US and Canada, overall, crush margins during the quarter remained depressed. In soy crush, for most of the quarter, structural margins were impacted by an oversupply of soy meal and destinations, which built earlier in the year as Argentine crushers overproduced at a time when other unusually low price competing proteins were available. However, conditions improved toward the end of the quarter as reduced crush in Argentina brought global soymeal supply into better balance with demand. This has had a particularly positive impact on soy crush margins in Western Europe and Vietnam. Compared to last year, higher soy crush results in Brazil were more than offset by lower crushing results in Europe, Argentina and Asia. In the US, structural margins were good and generally as expected, but slightly lower than last year. Soft seed crush results were lower than last year, as better results in Canada were more than offset by lower results in Europe. Results in oil seeds trading and distribution were similar to last year, however, margins remained weak due to competitive pressures and limited dislocation opportunities. The decrease in grains was primarily due to lower origination results in South America due to tough competition for old crops supplies and farmers delayed pricing of next year's crop. Results in US origination were lower than expected, but slightly higher than last year, primarily due to effective positioning. Results in grain, trading and distribution were similar to last year. So overall, agribusiness results were lower compared to the same quarter last year, primarily as a result of lower margins, which were only partially offset by higher volumes. Food and ingredients adjusted EBIT was flat at $70 million compared to the fourth quarter of 2016 and $6 million higher than the third quarter of 2017. Edible oils adjusted results improved by $4 million compared to the fourth quarter of last year, primarily due to improved performance in North America which benefited from higher margins and lower costs. Results in Brazil were slightly higher, also benefiting from lower costs and higher volume, but margins in Brazil continued to be under pressure, particularly in the higher value categories. Partially offsetting these improvements were slightly lower results in Europe and Asia. Milling adjusted results decreased by $4 million compared to the fourth quarter of last year. The decrease was primarily the result of lower margins in Brazil. The large domestic wheat crop from earlier in the year, which increased competition, combined with continued reduced customer pricing power for milling products pressured margins. Costs in the business continued to come down and with a smaller domestic wheat crop this year as well as an improving economic scenario in Brazil, results should start to improve. Partially offsetting this decline was strong end of the year performance in US corn milling, which benefited from increased volumes and margins. Mexico results were comparable to last year. This is the third quarter in a row that our Mexico milling result is now running at historically high levels. Sugar and bioenergy quarterly adjusted EBIT was a loss of $8 million versus a profit of 30 million in the prior year. Results for the quarter were lower than we had anticipated. Crush volumes and sales were negatively impacted by poor weather and unit costs were higher as a result. For the full year, sugarcane milling results were profitable, but lower than the prior year, primarily due to lower ethanol and sugar prices, which were only partially offset by higher sales volumes. Average ethanol prices were lower by 16% and average sugar prices were lower by 14% as compared to the prior year. Results in our biofuels joint ventures were comparable to last year. Sugar trading and distribution results for the quarter were approximately breakeven, but up from last year. As Soren mentioned earlier, we’re in the process of exiting our sugar trading business as well as divesting of our renewable oils joint venture interests. These two activities generated an EBIT loss of approximately $40 million in 2017. Fertilizer adjusted EBIT was $15 million in the fourth quarter compared to $25 million in the fourth quarter 2016. Last year's results benefited from the reversal of an $11 million provision related to tariffs on natural gas consumption. Excluding this provision, results were slightly higher than compared to last year. We recorded a $16 million notable charge during the quarter, related to the restructuring of one of our facilities in Argentina where we closed three production lines that were no longer competitive. Our full year tax expense was $56 million. Adjusting for notable items, the tax expense for the full year would have been $49 million, a 13% effective tax rate. The tax rate was lower than the range of 18% to 22% mentioned on the third quarter call, primarily due to the mix of earnings and discrete items. The fourth quarter included tax charges of $60 million relating to a provisional estimate for the impact of US tax reform, $6 million relating to Argentine tax reform and a $20 million net valuation allowance. The $60 million US provisional estimate included charges of $105 million, relating to the accumulated foreign income and $27 million for withholding taxes related to the future repatriation of those earnings, partially offset by a $72 million benefit, resulting from the revaluation of our deferred tax liability. Now, let's turn to slide 6 and our cash flow highlights. We generated $884 million of adjusted funds from operations in 2017, down from last year's 1.5 billion, primarily due to lower earnings. While this is well below our long term trend, it does demonstrate that even during the year of historically poor agribusiness fundamentals, Bunge has an enduring ability to generate substantial cash flow. Let's turn to slide 7 and our capital allocation process. Our top priorities are to maintain both a BBB credit rating as well as access to committed liquidity, sufficient to comfortably support our agribusiness flows. We are BBB rated by all three rating agencies and we had $5 billion of undrawn available credit and $601 million of cash at the end of the quarter. Within that capital structure and liquidity framework, we allocate capital to CapEx, portfolio optimization and shareholders in a manner that provides the most long term value to shareholders. We’ve continued to reduce CapEx spending, investing $662 million through the end of the year compared to $784 million in 2016, $140 million of total related to the sugar business, primarily for sugarcane planting and productivity improvements. We invested $369 million in acquisitions, the most significant of which was the acquisition of two European seed processing plants in the first quarter and we paid $297 million in dividends to shareholders and minority interests, a $14 million increase in dividends and common shares as compared to 2016. During the fourth quarter, we extended our existing $1.75 billion credit facility scheduled to mature in August 2018 to December 2020. Our next debt maturity is in June 2019. Let's turn to slide 8 and our return on invested capital. Our trailing four quarter average return on invested capital was 4.4% overall and 5.2% for our core agri and foods businesses, 1.8 percentage points below our cost of capital. Our goal is to earn 2 percentage points above our cost of capital on the agri and foods business. Let's turn to slide 9. We announced the competitiveness program in July. The program is focused on reducing our cost base and simplifying our organizational structure, to drive efficiency, enhance our ability to scale the company and realize significant additional value from our platform. We’ve planned to achieve an annual run rate reduction in costs of $250 million by the end of 2019. The reduction will be roughly split between indirect spend and employee costs and would reduce our addressable SG&A from a 2017 baseline of 1.35 billion to 1.1 billion by 2020. Since the end of the third quarter, we’ve reduced headcount, including by 18% in the management ranks, consolidated five geographic regions into three, completed and are now implementing organizational design changes for all segments and functional areas, established 2018 spend and organizational savings targets and cascaded them throughout the company, developed a shared service strategy and established a plan to implement zero based budgeting for our next business planning cycle. As previously stated, we had targeted 2017 SG&A reduction of $15 million. The actual 2017 savings of $40 million exceeded that target, resulting in actual addressable SG&A of $1.31 billion for the year with a cost reduction roughly split between employee costs and indirect spend. We incurred $55 million in SG&A related program costs in 2017. We continue to target a $100 million reduction compared to the baseline in 2018, resulting in addressable SG&A of 1.25 billion, which is an incremental reduction of 60 million compared to 2017. Let's turn to the 2018 outlook on page 10. As discussed earlier, we continue to focus on the drivers we can control. The impact of the competitiveness program and industrial savings have been incorporated in the outlook. The effect of Loders has not. Starting with agribusiness, the livestock industry continues to be strong, creating consistent demand for protein feed. Soymeal pricing has become more competitive as compared to DDGs and feed wheat, which is expected to increase soymeal demand. Meal stocks in the origins and destinations have been drawn down to more reasonable levels and the crushing rate in Brazil has slowed down and we expect the industry to crush more in alignment with the pace of farmers selling than in 2017 and we've reduced logistics commitments in South America, affording us more flexibility to adjust to farmer selling patterns. We believe these dynamics will result in improved crush and origination margins as compared to 2017. Based on these factors, we currently expect 2018 EBIT to be in the range of $550 million to $700 million. Though we expect softness in Q1, we see improvement throughout the remainder of the year and with crush margins expanding, we could see significant negative mark-to-market impact at the end of the first quarter, which would reverse in subsequent quarters. In food and ingredients, we expect segment results to improve as we progress through the year, resulting in EBIT in the range of $260 million to $280 million. Our outlook for year-over-year growth reflects an increased volume of higher value added products, growth in sales to key customers and improved results in Brazil wheat milling. In sugar and bioenergy, turning to page 11, we expect 2018 EBIT of $50 million to $70 million. We've assumed no contribution to EBIT from either sugar trading or the SB Oils joint venture in this outlook. Results are expected to be seasonally weak in the first half of the year and we expect a loss of approximately $40 million in the first quarter due to the low level of opening inventory going into 2018. We expect full year fertilizer EBIT to be approximately $25 million. We expect our effective tax rate to be in the range of 18% to 22%, including the impact of US tax reform, which is expected to improve our effective tax rate by approximately 2 percentage points. We expect CapEx to total approximately $650 million, depreciation, depletion and amortization of approximately $625 million and we expect net interest expense to be in the range of $225 million to $245 million. I'll now turn the call back over to Soren.
Soren Schroder: Thanks, Tom. We’re on slide number 12. And before we move to Q&A, I'd like to summarize a few important points. First, we're proud of our team and our accomplishments. We took on a major restructuring and a significant acquisition in a very challenging environment. Both will position us well in the future. We have an unrivalled global footprint in both agribusiness and food and we have a clear strategy aimed at perfecting that global footprint and increasing the share of value added activities. With the acquisition of Loders, we will accelerate this growth towards the 35% to 40% share we've been targeting for some time. We expect market headwinds in agribusiness to subside and in our biggest business soy crush, there are clear signs that they are already. As that happens, our strategic and operational actions of these past couple of years will position us to restore earnings this year and for growth beyond. Finally, as we've all seen in the media reports both in recent weeks and last spring, surrounding our potential role in industry consolidation, as we have said consistently and as I know you understand, we can’t comment on the market rumors or speculation. And with that, we’ll now turn it back to the operator and to your questions.
Operator: [Operator Instructions] And the first question comes from Ken Zaslow with Bank of Montreal.
Ken Zaslow: I just have two questions. When did you come up with your guidance for 2018? Was it like at the end of the year or is it most recently? And if I were to look at the most recent last two weeks, if I were to draw that forward to that sustainable, how would that change your outlook.
Soren Schroder: It's evolving to be frank. The process of preparing for this call is over many days and weeks and there's no doubt that sort of every day that has gone closer to the call and where we are right now, the environment in agribusiness in particular has continued to improve. It's not easy to put a finger on exactly what it means for the full year. But there's no doubt that it's a different tone and a different feeling in this segment, particularly in crush than it would have been a month ago let's say.
Ken Zaslow: So when did you put together your guidance, a month or so ago or does it incorporate the last 10 or 15 days where again?
Soren Schroder: Yeah. I know what you're getting at. It incorporates half of the last 15 days and that would point you towards the upper end of the range, if it was to continue. But, we're still early in the year, early in the quarter. We’re all expecting that we will see a more structural improvement in crush as we go through the year, but this is all happening very, very quickly. So we're being a bit cautious in not getting too far ahead of ourselves.
Operator: Thank you. And then next question comes from David Driscoll with Citi.
David Driscoll: So two questions. One just about the strategic changes. Sugar trading and the specialty oils joint venture, so trading was historically positive. So I'm not exactly clear why you’d really want to shut that one down and I'd like to just hear a little bit more on that one. On specialty oils, I believe you've been in that joint venture for many years and even as recently as I think it was in October last year, you guys had a press release out talking about the progress of the commercialization of the new algae fish feeds and it seemed like it was progressing. Why are these businesses being shut down and does it, Soren, is it just as simple as hey, look, the company is under tremendous pressure, EBIT is not coming in where you want it. So you're pulling in the range a little bit in getting out of some things that have higher volatility, i.e., sugar trading and/or a long roadmap before oil is ever going to go positive. So you just close these things down right now. Is that the way to look at it?
Soren Schroder: Well, I'll put it slightly differently although you have some of the elements. It's really about focus and it is about moving along the path in the segment that we outlined already several years ago. As far as the renewable oils joint venture is concerned, you're right. It's an investment we've had for a number of years and we've continued to contribute to it. The outcome of it so far is different than how we initially expected it to be. Initially, it was focused on developing specialty oils, tropical oils, equivalents through algae. That turned out to be not necessarily the best path. The cost point was too high and it developed and evolved into a specialty feed business, which is interesting and it is making good progress and it has successes as we described last year in October, but it's not core to us. And for that reason, we've decided that it was better if we could hand this over to our partner at the moment and then focus additional capital spending on our core activities. Sugar trading, we got a good team. They've done a great job globally, but it's a hyper competitive business. We've been struggling over the last year to generate enough gross margin to cover our cost. We haven't had any negatives, but it's an expensive operation to run globally and structural distribution margins in sugar are just very, very, very narrow and it is not strategic to our milling business, in other words, what we intend to do with the milling business does not depend on having a global sugar trading set up. We can handle the risk in the merchandising from within the sugar milling business. So, concluding around all those factors, we simply decided that it was time to really focus on what's core to us, which is agribusiness, foods, grains and oilseeds and get on with it in a good way.
David Driscoll: In agribusiness, I believe the guidance for the year had been changed in the third quarter to 425 to 500, fourth quarter implied guidance was then like 175 to 250, actual is something like 63 million I think. You’ve mentioned there was an oversupply of soymeal globally in the press release, in your comments. I am not trying to beat you guys up here on the forecast. I'm trying to understand how things changed so much. We all have a lot of difficulty forecasting. Can you just walk us through a little bit here on how you have that view in the first month of the fourth quarter and then just kind of what changed and is there some good industry metrics that would really point to the pressures because it's really sizably different than how it looked? So this almost goes back to the optimism on the previous question, everything was great today, but I feel like we've been in this little cycle of, there's some optimism at some point, but then a couple months later, it really changes a lot on us and it's tough on the outside, given that level of volatility. So appreciate any comments you can give us just on how the fourth quarter went and again what things you think that we can see on the outside that would just help us track better, given the volatility?
Soren Schroder: Thanks, David. Yeah. Well, the fourth quarter was a disappointment. There's no doubt about it. But we started out very well. October was a very strong month and gave all of us confidence that we were on track for the guidance we've given, a quarter that would be in the $300 million range in total. And that some of the actions we have taken in agribusiness already starting back in August, September, i.e., deliberately reducing crush rates, both in Europe and Argentina were beginning to take hold. And as it turned out, in November and December, both soy crush in Argentina and Europe and also soft seed crushed disappointed. The part of the capacity that we have not locked in, we ended up selling at significantly lower margins that we had anticipated at the end of October. That was really the major variable, the total impact was about $100 million. Origination margins in Brazil for November and December also turned out to be less than we had expected as people were completing some other take and pay commitments and essentially originated grain through that period with zero gross margin. So those were the elements. I think it's very hard on the outside to see how that all plays out on a day-by-day basis, but I think those who followed cash crush margins around the regions that I talked about would have seen that they weren't really getting better. Now, the good news is that they are. So we were off on timing, I suppose, by a bit, but the recovery we have seen now in crush margins in really globally have been on the back of reduced crush rates, more discipline in the industry and continued growth in demand and that's playing out right in front of us now. And so even though we may have some negative mark-to-market in Q1, this is all really good news and we're all, at the moment, working on projecting how far out into the year we can secure and lock up some of these better margins and that's why also the range in agribusiness is pretty wide. We don't want to get too far ahead of ourselves, but there are certainly many things that are pointing in a good direction at the moment.
Operator: Thank you. And the next question comes from Robert Moskow with Credit Suisse.
Robert Moskow: Just a question about the outlook and the take or pay, I guess, reducing your activity in that. I think that is an effort by you to reduce your exposure to some losses that occurred in 2017. But by taking this step, are you also kind of sacrificing your ability to lock in forward distribution margins in 2018 with customers that you otherwise would have taken and is that part of the reason for the more conservative outlook as well, just that you don't -- you want to go by the spot market, rather than locking margins.
Soren Schroder: Well, your comment is right. If you want to go more by the spot market, I suppose, it’s a good way to put it. But the alternative is not necessarily locking in that margins in origination, it’s quite the opposite. So, we’ve taken the stance that for origination and export, particularly in Brazil, we have to find a way to price a margin. Otherwise, we will be willing to sacrifice some market share. And we place whatever we can originate ourselves with goods from third parties that we will then bring to our own destinations, be that soy crushing in Europe or China, et cetera. So just a very pragmatic way to running the system. We've got a record crop coming off in Brazil again. There's no reason why we should be handling all that with zero gross margin. So, we're just building in more flexibility. I think it will turn out okay. At the moment, most of the origination in Brazil is heading towards crush at good margins and we will see how it plays out as we get into March and April where more of that flows will be directed towards export. What we think we will get back into some positive margins again. So we just don't want to lock ourselves into a situation where we will be forced to originate at negative margins as was the case for most of the industry last year. There's no reason for that.
Robert Moskow: And just so I'm a little more clear, I guess, when you are locking in at negative margins last year in origination, did that flow through your export distributions or your crush margins domestically or it doesn't really matter either one?
Soren Schroder: It probably doesn't really matter because we can move whatever we buy to either channel, all depending on where the best margins are and it's not like we go out and lock in negative margins in advance. We wouldn't do that. That's exactly what we are not doing now, but because ourselves and others have made significant commitments to rail transportation and other types of logistics, when farmers selling disappointed, you still have to fulfill those contracts and that meant you have to essentially pry the grain away from farmers at margins that ended up being negative and we are avoiding that this year.
Robert Moskow: Okay. Does it just speak to an overall more challenging environment that you're in, just that there's a lot of grain supplies on the market, farmers have a little more leverage, better financing, more flexibility as to when, or at what price they sell at and that's the situation you're trying to cope with. Is that a fair assessment?
Soren Schroder: I think the entire industry and certainly ourselves are trying to adjust to a new environment. Last year was a big wake up call for everybody and all the factors you mentioned from storage, better balance sheet, the previous years of profits allowed a different type of marketing pattern everywhere really and we had collectively not adjusted to that. In my view, as we now go into another record South-American, at least Brazilian crop, margins and the way the market operates will normalize and we will get paid a margin for what we do. It may not be as big as it historically was, but we will get back to more normalized type situations. What we do, the services we provide, starting in the deep interior, originating grain, conditioning it, transshipping it, bringing it to the port, loading it onto ships and all the risk of logistics that we take in the middle deserves a margin. And I'm sure that we'll get it, but it'll be likely different than it was maybe four years ago, but it will be positive and not negative.
Robert Moskow: Soren, last question. Does consolidation in the processing and handling industry help foster a higher margin environment, just generally speaking you think?
Soren Schroder: Not necessarily. Maybe in some areas, but broadly speaking I'm not so sure. It's a fairly fragmented business with barriers to entry that aren't all that significant. So it's more about how you run your assets that determines your profitability. So, there are certainly pockets where that is the case, but on a global scale, I'd say probably not.
Operator: And the next question comes from Adam Samuelson with Goldman Sachs.
Adam Samuelson: Maybe continuing on the discussion on the outlook, the 550 million to 700 million in agribusiness. Just maybe a little bit more color on the grains versus oil seeds components of that and really just trying to think about the 2018 outlook versus the long term where before 2017, the expectation for agribusiness was, hey, this is long-term into the $800 million to $1 billion, $1.1 billion range. We're still below that even after we’re starting there and some of the benefits of the cost programs. Help me think about where ’18 would still be falling short relative to that longer-term raising you’ve previously been in and expected to stay in or above.
Soren Schroder: Right. What we have dialed into the current range is really just a pickup in global soy crush margins, about $5 a ton give and take from the very depressed 2017 level and gets you close to $200 million delta. And then some normalization in grain origination in South America in particular, call it, 100 million to 150 million. So that gets you in the midpoint of that range. Beyond that, we know that, that gets you back to sort of the baseline margin in 2016 in crush and beyond that we are convinced that the market will still have to price higher margins as capacity utilization continues to tighten in the face of global growth in demand of both oil and meal. So beyond that, we see that there's another $5 to $10 of margin improvement over the next two to three years. And then the question is really, can grain origination in South America in particular, but also in the US, get back to some kind of normal and there, we have been more cautious for the reasons we just talked about. We are coming out of a difficult year where a lot of factors meant that grain origination globally was a real struggle. We’re taking a different approach as we just described and we think that we’ll work, but the degree of that is yet to be seen. Global trading and distribution has been and was last year depressed. It was profitable, but it was nowhere near the types of earnings that we enjoyed in, call it, ‘14, ‘15, ‘16 periods, simply because abundance of grain and oil seeds and proteins everywhere, no dislocations meant that our ability to shift demand from one origin to the next and use our footprint optimally just wasn’t there. That can come back any moment, but we have not dialed much in for that either, just out of prudence. Any dislocation any place in the world of any consequence would bring that global distribution capability into light again and make it very profitable. It's been an important part of our profitability over the years. So those are the things that weighed into the range that we gave and the one thing that we feel fairly confident about at this stage and it's growing every day is the soy crush outlook, which is admittedly our biggest business.
Adam Samuelson: And then on the sugar side, it fell short in the fourth quarter. I understand the weather was very disruptive to operations as you move through the fourth quarter. But just trying to think about the ’18 kind of outlook, the puts and takes, kind of, how much it has just and what's still a fairly constructive view despite a fairly strongly real and lower sugar prices, it's just the ethanol mix and ethanol prices in Brazil that gives you the confidence, cane that wasn't crushed, just help me bridge those pieces a little bit.
Tom Boehlert: Yeah. Hi. Going from ’17 to ’18, we have an increase of about $20 million in crush results and milling results, plus about $5 million benefit from the competitiveness program. And that takes us to the midpoint of the range basically that we gave. The bioenergy results are basically offset by allocations, cost allocations. And so going from the sort of 35 million to 55 million in milling, half of that is roughly volume increase and so getting back to a 20 million plus -- million tons of crush and making up really for what we missed in the fourth quarter. And the rest is ethanol price, ethanol prices are up fairly significantly, sugar prices are slightly down. In terms of hedging, we typically hedge about two-thirds of our sugar and of course none of our ethanol. There is not an effective way to hedge ethanol. So, we’d look at price volatility at the moment. We're kind of maxing out on ethanol, given the relative price. And so you can kind of figure out what a sensitivity would be using those ratios with the change in ethanol and sugar price. And the improved ethanol price going into 2018 was really driving the positive price variance.
Adam Samuelson: Okay. And just one quick clarification, the comments that expecting a week are a soft first quarter in agribusiness. Does that already include some elements of mark-to-market on pressure, is the mark to market, potential mark to market an addition to where this generally is soft outlook?
Soren Schroder: I would say that it was -- agribusiness was probably a continuation of what we saw in Q4, that type of run rate, at least up until now, it still -- the quarter is not over yet. So, a softish first quarter and mark--o market would be on top of that.
Operator: And the next question comes from Ann Duignan with JPMorgan.
Ann Duignan: Most of my questions have been answered. Just on the sugar business. Are there any dissynergies that we ought to think about that might impact the other businesses post any actions you take in that business?
Tom Boehlert: No.
Ann Duignan: And then on the origination business in Brazil, I mean, if that business has structurally changed, farmers have learned how to trade the market or hold the market, Soren, are you satisfied that you've really addressed the root cause of the problem or are we just putting a Band-Aid on the problem and hoping that moving to spot purchasing is going to fix the underlying problem?
Soren Schroder: Well, I mean, you have to adjust as market conditions tell you to. I think the big thing that has changed in Brazil, compared to let’s say a couple of years ago is that so little of the farmer selling is done in advance. That's the biggest single change. We used to walk into harvest with 50%, 60% of the crop already bought in advance and when you do that 6 or 12 months before the harvest, the ability to price a reasonable margin, both to the farmer and to ourselves, is significantly better. I would expect that to come back. It's a combination of Chicago futures and currency that has led us to where we are right now. So the ability to manage forward risk on behalf of the Brazilian farmer is still very much there and I think these last couple of years are, it's just a moment in time. At the same time, we're doing everything we can to add value in how we deal with farmers. We have a very elaborate network in Brazil, we’ve invested in some minorities, Alvarado as you probably saw announced last fall is one of them. We’ll be partnering up with local originators and help bundle services to farmers, ranging from fertilizers to crop protection to financing to risk management tools, so that we can help farmers be profitable and in return eke out a bit of a better structural margin. That's working well, but it's work in progress, but it's just something we have to do as it's happening everywhere else in the world and I think that with the reach we have in Brazil, that will be a successful way forward. So I don't think it's broken. I think we've gone through a -- just a difficult period of time and we'll get back to more normalized profitability and hopefully this year, we’ll be one step back towards normal. I think it will be.
Operator: Thank you. And the next question comes from Vincent Andrews with Morgan Stanley.
Vincent Andrews: I know that the ink barely dry on the most recent cost cutting program, but obviously the year didn't play out the way that you thought. So I guess my question is, the $1.1 billion SG&A target, a few years from now. Is that the absolute lowest that it can go or if the status quo persists, the low end of guidance this year, if that outcome -- is that once of being the outcome, you think there's another round of cost actions that’s possible to take or are you kind of near the bone if you hit the 1.1.
Tom Boehlert: Hi. We're still early in the program. We exceeded the in ‘17. And we have the plan in place to achieve the 100 million in ‘18. As we get into the sort of shared service activities, we'll be able to better assess what we can make more efficient in the company and any related cost savings from that. But at this point in time, I think we're comfortable with the numbers we have put out and as we move through the program, we will be looking for additional opportunities and updating you as we go.
Vincent Andrews: Okay. As a follow-up on the cost savings, I think the last quarter, we talked a bit about the potential FX impact to it and you sort of said you could quantify it this quarter, so if you could just help us understand you a swing in the real might move that number around this year.
Tom Boehlert: Yeah. The FX impacts were not really material last year. So if you look at a swing in the real, let me do it this way, a 10% change in overall FX across the board would lead to probably a $30 million to $40 million change in SG&A.
Vincent Andrews: And then just on, there is some noise brewing on the trade front between the US and China, reading some stuff about soy grain already, maybe corn eventually would go to soy if it escalates. What's your assessment of what's going on and I don't recall us having one of these issues for a few years. So how do you think it would impact the agribusiness environment if we do get into sort of elevated trade issue with the Chinese?
Tom Boehlert: Well, I think, having a global footprint and a presence, very, very strong presence in the primary origin, which is now Brazil is a good thing in that kind of an environment, but I really hope it doesn't happen. It's better that [indiscernible] figure out good things and the US still represents a significant part of China's over 100 million ton import needs. So you would think that somehow that would all be figured out, but there is a lot of noise and some disruptions in the supply chains coming out of the US where that's relating to foreign matter at load or discharge or non-GM, et cetera. I’d say so far, it hasn't cost big turmoil. If it persists, it should get priced into the margin. But I would expect that given the significance of the US as a supplier to China that this could be worked out. If it doesn't, we've got plenty of teams in Brazil.
Operator: Thank you. And the next question comes from Farha Aslam with Stephens, Inc.
Farha Aslam: First, a question on IOI Loders. Your interest expense that you pointed us to, does that include financing for Loders?
Tom Boehlert: No. None of the outlook includes Loders impacts.
Soren Schroder: Yeah. We plan to give that update in the next call once we’ve closed and all the adjustments and so forth. So none of the numbers that we presented today includes Loders.
Farha Aslam: And then for global soy crush, it seems like the improvements really started with Argentina. Could you tell us what caused the Argentine crushers to pull back on crush and how sustainable that current crush level is and what would cause them to increase crush again?
Soren Schroder: Well, I think the biggest factor that’s played into sort of the reduction in crush rates in Argentina has been the pace of farmer selling and that crushers, like ourselves, have decided that we're not going to crush and export products from unpriced beans, and so -- which was very contrary to how last season started and which we created that excess glut of soybean meal, the industry essentially crushed unpriced beans and exported the products. And did that in a very, very low margin environment and it was a very expensive lesson, because soybeans were in a carry and so you ended up fixing soybeans much later at higher prices, so not a good economic outcome for most crushers in Argentina last year and I think what's happening now is just sort of what should be happening, you crush based on the current margin and you don't take excess risk unless the margin is really extraordinary and it isn't yet. I mean we’ve bounced back to the mid-20s, which is okay, but it's not exceptional and it is not enough to warrant taking the risk of crushing and exporting unpriced beans. And so as long as a farmer is relatively conservative in his pricing of soybeans and at the moment with the potential crop issues, it seems like they will continue to be, I think we’ll walk into the second quarter with even lower global meal stocks and it will actually take the Argentine crush to ramp up significantly in the second and third quarters to keep us from getting down to very uncomfortably low levels. So we will need Argentina to crush at a higher rate once we get into Q2 and Q3. So I think that's what's happened.
Farha Aslam: And my final question has to do with the RenovaBio program that’s been passed in Brazil. Is that so far impacting ethanol demand in Brazil and will that impact the valuation you're able to get for that sugar business?
Soren Schroder: Well, it’s early days and the details of the program are not known. That’s still I believe to be worked out over the next 12 months or so, but there seems to be a very clear commitment to improving or increasing the amount of renewable fuels in this fuel blend in Brazil. And as we all know, the car fleet in Brazil is flexed and so it makes all the sense, I would think, to an investor in sugar milling, this would be a very nice long-term positive, but it would be hard to quantify the effect of it right now, but it would definitely be something that would solidify and give courage to an investment in the business where -- in our case 60% of the production goes to ethanol.
Operator: And the next question comes from Heather Jones with the Vertical Group.
Heather Jones: I have a few questions, but just really quickly what proportion of your cost savings in 2018 do you estimate will be allocated to the agribusiness segment.
Tom Boehlert: About 65% goes to agri, 30% to food and ingredients and 5% to sugar.
Heather Jones: So that was my – so it leads to my second part of my question. If you adjust for the cost savings, your guidance and then resolving the whole take or pay issue and the rough numbers that we put around that, it seems like you are assuming even at the high end of your agribusiness guidance for ’18, a relatively modest increase in profit per ton and crush. And so I was wondering if you could help us understand, are there some negatives in ’18 that we're not aware of that will offset some of these improvements, if you could help us think about that.
Tom Boehlert: Well. The way that I guess we can try and build a bridge together, I’m doing it off the top of my head, but if the starting point is 320 and we say that we will have a recovery of roughly $100 million or so in grain origination in Brazil, based on the things we said, it could be more, we don't know yet and roughly $5 a ton on soy crush, which is what we're currently projecting, I have to say that at the current moment, if the margins we're seeing now for the next 60 days would hold, then that $5 would become much more than that, but that's what we've used. That's between 150 million and 200 million. And then you have the effect of the competitiveness program, which would be roughly 60 million. So that gets you in that sort of the upper end of the range, which is how it looks now. And could it be higher? It could. But last year, frankly, it was such a shocker to all of us in trying to predict profitability that just don't want to make the same mistake.
Heather Jones: I was thinking about the competitive program plus the SG&A, the 180. Is two-thirds of that in agribusiness?
Tom Boehlert: Oh, the 180. I think you are including the $80 million of continuous improvement. That's all industrial improvements and supply chain logistics improvements. We are not assuming that all of that flips to the bottom line. Typically, only half of it does, but it's a guess really. So the $100 million is the combined effect of ’17 and ’17 of the competitiveness program, of which 65 will go to agribusiness and we do believe that will translate into the bottom line, but you can't take the 80.
Heather Jones: And then what we're seeing in crush right now, how would you, in your view, how is this different from the run up that we saw in ’16 and what gives you confidence that it has staying power.
Tom Boehlert: In ‘16, soybean meal divorced itself from everything else and ran up even more so than what we are seeing now, whilst every other ingredient collapsed in price, feed wheat was one example. Europe, I think that year had a terrible crop. So it was more extreme. You had real divorcing itself from every other feed ingredient and those were growing in abundance and diving in price. So it was a complete stretch. There is a danger that soybean yield gets ahead of itself. I mean, I'm not saying that this can go on forever. I want to also suggest that we're not there yet. The soybean meal is still well priced in formulation even after the recent run up and has a bit more room to go, other ingredients have followed to a large extent. It’s something that we watched very carefully, but it is different and we have come out of now really since that second quarter in ’16, we have recovered from that effect, maybe last quarter was a good quarter in terms of overall soybean meal consumption, both at origin, but also in trade and we believe that as we get into the second and third quarters this year, meal trade will grow in a healthy way again, which it didn't last year. So it's a different environment and we think it's therefore more structural and should stay with us.
Heather Jones: I'm glad you said that, because the way I've been looking at relative pricing, it does seem like the excess speed wheat and DDGs that we saw, those issues have resolved itself. So when you talk about the improved crush environment, you talked about slowing origin time crush and all, but do you think that increased meal inclusion and feed rations has played a major factor as well.
Soren Schroder: I think it has helped. Those things have helped. The combination of a reduction in crush in Argentina really is starting I guess in October, November last year, continuing now into the first quarter, combined with better meal trade and better overall demand, both of those things have had resulted in global meal stocks coming off their peak and indeed they were significant. We’ve built a mountain of meal during the second and third quarters last year that we have, I think, we talked about that on one of the calls that we have taken action back in August already and reducing all crush rates because none of it made any sense and subsequent, I think, others followed and that combined with better demand got things into place. I mean, we we're not assuming for a good crush story for the balance of the year that Argentina crushes a 50% throughout the entire year. We need Argentina to crush more at some point, likely in the second quarter when their harvest comes in to full speed. So we need Argentina to produce at much higher rates than currently to not draw meal stocks down to levels that are unsustainable. So it's a combination of good demand and a bit more discipline is really what’s brought us to where we are now.
Heather Jones: So final question, what you're saying about needing Argentina echoes what I've heard from talking to other players. And if you do the numbers, they're needed, but do you think the industry will remain disciplined and not forced to crush higher, unless the farmers are willing to sell. I mean, how should we think about you get into that situation where Argentineans need it, how should we think about industry discipline about crushing relative to margins?
Soren Schroder: It's very difficult to tell, Heather. My view is that, last year was a very expensive lesson for the industry in Argentina and we will follow the pace of farmer pricing throughout the year and there's no economic incentive at the moment to take risk beyond that. Margins aren't good enough in Argentina to do that. So I don't think that will happen, at least not at current margins, maybe if they go to $60, who knows.
Operator: And the next question comes from [indiscernible] with Baird.
Unidentified Analyst: Thank you guys for taking the question. Most of mine have been answered already. I was just wondering if you could maybe provide additional color on where we're at in the separating sugar process and what your options are there and any update would be appreciated.
Soren Schroder: Well, what we've done is we have now separated or we are in a position to separate the business financially and therefore transact rather quickly and the options that are in front of us are several. It could be an IPO, it could be a partial sale, a full sale, a partnership. We are currently looking at several options. Very importantly, we feel that we have now three years under our belt where the milling business has been profitable, solidly profitable and even last year with all the adversity in bad weather and lower prices, we proved that we could generate a strong result and free cash flow. So we believe we've tested and stood the test of the milling business through several different environments and with three years of performance behind us and a good team, we think the business is ready for something better and we have no doubt that the outcome of that will be better than it would have been if we had done the same three or four years ago. So that's what it means.
Operator: Thank you. And the next question comes from Robert Moskow with Credit Suisse, a follow-up.
Robert Moskow: Just very quickly, you said that you expect a $5 per ton increase in your soy crush margins in 2018. Does that get you back to normal soy crush margins or do you still expect below normal in ’18?
Tom Boehlert: That gets you back to sort of a 2016 type level, roughly $30 a ton and we believe that's the base from which we should then grow. That was really the base from our Investor Day back in December ’16. We felt that on top of that, there was $5 to $7, $8 a ton of margin improvement as capacity utilization clearly is improving and need to move to a level by which you encourage additional investment over a period of three to four years. So we’re back to the base.
Operator: Thank you. And as there are no questions at the present time, I would like to turn the call to Mark Haden for any closing comments.
Mark Haden: Great, Keith and thank you everyone for joining us this morning. Appreciate it.
Operator: Thank you. The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.